Operator: Good afternoon, and welcome to the Moelis & Company First Quarter 2021 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded.  I would now like to turn the conference over to Chett Mandel, Head of Investor Relations. Please go ahead.
Chett Mandel: Good afternoon, and thank you for joining us for Moelis & Company's First Quarter 2021 Financial Results Conference Call. On the phone today are Ken Moelis, Chairman and CEO; and Joe Simon, Chief Financial Officer. Before we begin, I'd like to note that the remarks made on this call may contain certain forward-looking statements, which are subject to various risks and uncertainties, including those identified from time to time in the Risk Factors section of Moelis & Company's filings with the SEC. Actual results could differ materially from those currently anticipated. The firm undertakes no obligation to update any forward-looking statements. Our comments today include references to certain adjusted financial measures. We believe these measures, when presented together with comparable GAAP measures, are useful to investors to compare our results across several periods and to better understand our operating results. The reconciliation of these adjusted financial measures with the relevant GAAP financial information and other information required by Reg G is provided in the firm's earnings release, which can be found on our Investor Relations website at investors.moelis.com. I will now turn the call over to Joe to discuss our results. Joe?
Joe Simon: Thanks, Chett. Good afternoon, everyone. On today's call, I'll go through our financial results, and then Ken will comment further on the business. We achieved $264 million of revenues in the first quarter, an increase of 72% over the prior year period. This represented our second largest quarter of revenues ever. Our growth during the period was primarily attributable to increased levels of transaction completions. Our M&A activity remains robust as we are participating in assignments broadly across regions, sectors and deal sizes. We also continue to see strong levels of restructuring and capital markets activity. In fact, our private funds advisory activity during the quarter was the highest it has ever been. Moving to expenses. Our compensation expense was accrued at 59.3%, consistent with our full year 2020 ratio. Our first quarter noncomp expenses were $35 million. The increment over the expected $30 million was primarily related to transaction-related charges. The noncomp ratio was a solid 13%. We expect our noncompensation expenses to be close to $30 million for the second quarter before possible transaction-related charges. We achieved a quarterly pretax margin of 29%, exceeding our 25% target.  Moving to taxes. Our underlying corporate tax rate was 26% for the first quarter. The discrete tax benefits related to our equity award settlements contributed approximately $0.27 per share of EPS and resulted in an overall net tax benefit for the quarter. Regarding capital allocation, the Board declared a regular quarterly dividend of $0.55 per share and a special dividend of $2 per share, the second special dividend that we've declared in the last 5 months. In addition, we repurchased approximately 1.4 million shares during the first quarter. The dividends and the buybacks together approximate $250 million in capital returned to shareholders. We remain committed to returning 100% of our excess cash.  And lastly, we continue to maintain a fortress balance sheet with substantial liquidity and no debt. We ended the quarter with $228 million of cash and liquid investments.  And I'll now turn the call over to Ken.
Ken Moelis: Thanks, Joe. Good afternoon, everyone. We continue to see strong momentum in our business. The pace of our new client activity remains high as there is a real and necessary desire to transact driven in large part by the acceleration of long-term strategic positioning caused by technological disruption and COVID-19 as well as the ready access to capital. Our M&A platform continues to be the biggest driver of activity, and we're advising on a growing number of clients across both strategics and sponsors. Our restructuring team remains an active and steady contributor even with the backdrop of a healthier global economy. And finally, our capital markets franchise has quickly become a more meaningful part of our business with deep product experience across the capital structure on both the public and private side. We have a well-balanced and durable business. I've never felt better about our go-to-market positioning with 3 powerful and highly collaborative engines to provide innovative solutions for our clients. Combined with our ongoing expense discipline and focus on profitable organic growth, I'm confident about our ability to deliver value for our shareholders in both the near and long term.  With that, I'll now open it up for questions.
Operator: [Operator Instructions] Our first question comes from James Yaro with Goldman Sachs.
James Yaro: So I'd like to start with restructuring, and forgive me, I have a couple of questions here. So maybe you could talk about the cadence of the restructuring opportunity this year and whether you think the opportunity is the same size or different than perhaps last quarter's earnings. And then any way to size what portion of the revenue it was this quarter? And then if there's any way to think about when it peaked last year.
Ken Moelis: Well, I don't believe it's peaked for us. I don't know for the market. And we're -- we've always said our -- we don't break it out, but we've said restructuring is naturally 20% to 25% of our revenues. And it's actually in that range, probably at the high end of that range in the first quarter. And that's on a good revenue. That's with a lot of M&A as well. And I continue to believe looking for the near term forward, it feels like it's going to continue or at least our backlog seems like that's going to continue. Again -- so I don't know when it peaked because I'm not sure it peaked. And I think there's this feeling that there's a very good economy out there, and maybe that will change restructuring. There are 2 things that I'm optimistic about, first of all, for restructuring. First of all is that the world changes rapidly every day. There's a lot of leverage in the system. And oftentimes, different sectors of the economy, even though the other sectors are going full speed, they have issues. And the last one that I think is underappreciated is that, well, number one, we have the best restructuring team on Wall Street. So that's another reason. And second, they're very good at doing out-of-court restructurings. And I think that's a very unique attribute, is being able to fix companies without going through the Chapter 11 process. Most companies would prefer that. And our team is very good at it. And I think in an economy like this, where there are opportunities to be innovative around capital structure, that's a really -- that's an asset that might keep us busy longer.
James Yaro: Makes a lot of sense. And then in terms of the hiring environment, how competitive is it out there in terms of bringing in new talent? And how should we think about how this could impact the comp ratio for the year? And are you seeing stronger competition from some of the bulge brackets for retaining talent?
Ken Moelis: We're not -- okay. We're not at the senior level, having any issues with the bulge bracket. Most of our senior bankers don't really want to go back. I don't think we have a lot of problems. There's a lot of talent hunting out there for junior talent, and that's -- so we see that all -- everywhere. I'd say the environment for talent is similar to what it's been. There are people looking and there are people available. I think one of the differences is it's a little -- it may get more expensive because you've had financial stocks run up in the last year or maybe 1.5 years. And remember, we have to pick up a lot of deferred -- you pick up deferred. So I think the overall expense of hiring people has gone up possibly. If you look at our own stock, it's more expensive to hire our own people on deferreds and it's pretty -- that's common across The Street. And I think a lot of firms have their stocks up. And comp is probably a little higher. So marginally more expensive and it's always been competitive. So I'd say most people don't -- they're making a life decision, and I think it's always been competitive to get them to leave a place that they're at and change. So it's about the same.
James Yaro: Okay. That makes sense. And then if you could just touch on your noncompensation costs over the longer term as the economy continues to reopen and you begin your return to office.
Ken Moelis: I'll take some of that on the -- I think you're thinking more about travel. And I know Joe had some thoughts on the quarter. But the -- again, no one knows. But I -- because the marginal differential, I think, you're talking about is travel and -- T&E. Obviously, we're going to give back some of this because we've gone to almost 0 or very marginal. I think though that a lot of travel is going to change. And my guess is that we end up somewhere with 1/3 to 1/2 of our previous travel. But I'm not quite sure -- I can't say that I know that. I just think we're going to eliminate some of the more commodity travel that can be done by Zoom and over the phone call. But the real relationship-building travel, I think, will be pretty intense and might even be elevated when -- maybe in the back half of next year when everybody tries to catch up and go see somebody they haven't seen in 2 years.
Operator: The next question is from Devin Ryan with JMP Securities.
Devin Ryan: Maybe just starting here with a bigger picture question. So looking back, when the company went public in 2014, revenues were around $500 million. And obviously, we'll see how this year plays out, but a lot of momentum and so $1 billion or maybe even something higher doesn't seem unreasonable. So roughly a double from when you went public. And so as you look out into the future here and think about kind of the next double from here, maybe just talk a little bit about what some of the big drivers of that might be, whether it's the M&A business still having kind of a lot of white space or the international opportunity. Just love to maybe think about broad strokes of what some of the bigger and most compelling opportunities are to kind of take revenues to the next level.
Ken Moelis: Devin, I think it's not -- well, there is white space. We have white space. But what's even more encouraging to me or what's really almost stunning to me, I'd say, and it's why I think it is the busiest time I've ever seen in my life, and the reason is a few years ago, maybe only 10 or 15 years ago, it would take a decade to build a business to the point where we kind of would be interested at our minimum fee level or where we'd want to participate. I don't know many companies that got to be worth $1 billion 15 years ago in a short period of time. And today, that could be weeks, I mean, or months. I mean it's -- there are new companies being formed, created and reaching relevant value in record time. So like when you say how deep is the M&A market, I would suspect there's like 30 to 50 companies or more that didn't exist 18 months ago that are in our -- that are in the range of something we'd want to talk about. I'm sure light on that by the way. So the creation of value and -- by the way and also the creation of market cap, so the revaluation, is amazing. The amount of middle market companies that are now worth $5 billion to $10 billion fairly rapidly, that's a large fee event for us. And they are in transition, and other companies are looking to buy them to fill in their digital strategy. So look, I think that the creation of market capitalization alone and then the need for almost every company in the world to rethink how they go to market, ESG, digital, climate change, the amount of change going on is also rapid. So I think the velocity -- and lastly, again, something we didn't even talk about, the amount of capital going to alternatives, which are in the business of transacting. And you put all that together, and I think it's what's leading to the incredible robustness of this market. And I don't see it stopping. I mean I guess it could. There could be an external event. But without an external event that I can't foresee, it feels like it's going to continue.
Devin Ryan: Yes. Great color. And maybe this is somewhat interrelated but kind of more in the near term. Obviously, the SPAC market has been kind of a big development, and I know you're very familiar with what's going on there and involved. And just thinking about the amount of SPAC IPOs that we saw in the first quarter, more than all of last year, there's a tremendous amount of company -- or SPACs out that are going to be looking for targets. And just kind of thinking about, I guess, maybe the opportunity that that's creating for Moelis to be involved with SPACs. Also maybe bigger picture, kind of how that's affecting kind of sponsor clients. And is that crowding out opportunities for them? Or do you think it will? And on the flip side, I think they're all benefiting from selling assets into the market as well. So just maybe kind of some thoughts on how that is also affecting activity within Moelis or the outlook for M&A activity.
Ken Moelis: So I think the SPAC market is here to stay. You're going to have valuation and repricing changes and also refocus. I think it was focused for a while on hypergrowth companies and certain industries. Maybe it'll move a little more to cash flow. But again, Devin, I think what is interesting is the rise of what I call the very large late-stage venture -- almost venture capital need. And there's a huge hole in that market where these companies are getting to 3 to 5 to 10, I mean, of private market capitalization. And when you say private equity, private equity wasn't actually formed to fund that kind of hypergrowth high-tech type companies. Now I think they were going to try to. Look, I think they were in a good position over time to say, "Hey, we're the best way to fund these. We get to see 5-year projections. We get to see due diligence." But the SPAC market has moved into that space and almost bridged a market that didn't exist 3 years ago, which is very large, high-growth companies that need a lot of capital to get to the next stage. And it's like I was saying before. Those companies are being created weekly. And so I think there's a lot of SPACs out there, but there's a lot of growth capital needed and a lot of great entrepreneurs and a lot of -- and there's a lot of businesses that you might not have heard about but that are fundamentally changing the world and disrupting, and they're going to meet each other. And I think that's a funding source that will continue. And I think it's additive. So it's a long way of saying I think you have -- private equity will be booming in their own asset class. I think this is almost a new class of a very late-stage venture and it's needed.
Operator: The next question is from Ken Worthington with JPMorgan.
Ken Worthington: So I can clearly see and knew that the business is doing particularly well in what's typically a seasonally slower quarter. What areas maybe were more subdued, either by region or by service? What hasn't been working quite as well as the majority of the business? And what might be the outlook there?
Ken Moelis: By the way, Ken, you must have been -- the first time since we've been public, you were not the first question. Very, very disappointed. It's like when Lou Gehrig ended his streak there. So I just want to note that.
Ken Worthington: I dropped the ball.
Ken Moelis: What's slow? Look, it's a classic -- I think it's part of the economy. And we're pretty strong across most of the sectors that are important. But of course, things like retail or there's not much to do, there's not much aggressiveness. I even think even the restructuring part of retail sort of got in the cycle early last year, and that's not -- and maybe I'd say oil and gas, that part of the world is still slower than most. But really, those are very episodic. Those are very unique as to what they're facing. Most of the rest of our sectors were pretty busy. I can't -- I'm trying to think of one that you would consider outside of those 2, which seem fairly obvious on the outside. I don't know one that -- I don't know another one that I'm missing that would have been unusually slow.
Ken Worthington: Yes. And then Europe, cross-border Asia, anything stand out as being slower or weaker than the other regions? Or is everything sort of white hot by region, too?
Ken Moelis: As usual, the U.S., when things are slow, the U.S. isn't the busiest. When things are hot, the U.S. is busy. So I think the U.S. stands out again in terms of its velocity of transactions. But interestingly, I think we had a white hot IP, too, but we had a very substantial and a very good business in almost every region you mentioned -- I think in every region, you mentioned, to be clear.
Operator: The next question is from Steven Chubak with Wolfe Research.
Steven Chubak: I wanted to start off with a question just given some of the potential tax changes that could be forthcoming, whether it's higher corporate tax rate or just changes to capital gains, how that's impacting any of the C-level discussions that you guys are having.
Ken Moelis: I haven't seen a lot -- I assume there's a transaction or 2 we have where somebody thinks they're going to get a capital gain out before tax increase. It's hard to define that because we don't get told that. They may be thinking that. I assume it's happening a little bit, but I don't see it driving right now. I think the other things I've talked about are what's driving the market. Now if somebody put in place a 43% capital gains tax and said that's effective January 1, 2022, you might see some real step-up in activity, but I don't think people are expecting that. And for right now, I'd call it marginal and hard to measure.
Steven Chubak: Okay. No, I appreciate that color. And I just wanted to ask a follow-up with regards to the restructuring outlook. And I appreciate a lot of the context that you had provided earlier. The challenge, at least from my seat, is every other corporate has indicated that we're seeing restructuring rebase to prepandemic levels. And just wanted to get a sense as to whether, one, are you comfortable at least indicating -- or should we be comfortable underwriting, I should say, 20% to 25% of your revenue still being from restructuring even with the better backdrop that you had cited? I guess just secondarily, if you can just provide maybe a little bit more perspective in terms of what are some of the other idiosyncrasies that are maybe driving greater resiliency in your business relative to some of your peers.
Ken Moelis: So I would feel comfortable in the near term thinking that we're going to stay at 20% to 25% as far as -- for the relevant future that I could see. I would tell you the biggest risk to that is I think that the numerator changes to the high side and shrinks the ratio because of the strength of M&A more so than the restructuring shrinks, if that makes sense. And again, I do believe we have the best team. It's a phenomenal team. We've kept it together. We have a lot of the people who are young -- who are junior bankers 7 or 8 years ago and now moved up and bringing in their own fees. They're very innovative. They tend to keep companies from filing Chapter 11. And when you have access to capital markets and you can figure out ways to use them to stave off bankruptcy, I think that's a real asset. And it could be why we continue to have a good level. Because right now, you don't have to go -- there's a good chance that there's a solution that is innovative and around the markets and not just going through a Chapter 11. And I think we're -- I think that's a specialty of ours.
Steven Chubak: Just one quick ticky tack, I guess, numbers or modeling question. Could you share just where the banker count as well as where the MD count stands as of the end of the quarter?
Ken Moelis: I think I have it in front of me. So I think the MD count as of today is 127, and the banker count is 618. That's as of today. At the end of the quarter, it was a little less, 126 and 615.
Operator: The next question is from Brennan Hawken with UBS.
Brennan Hawken: Just want to circle back, Joe, to some of the comments that you made on noncomp in the prepared remarks. They were quick. You guys jumped right to it here today. So I might not have gotten it right. And I appreciate not messing around and just getting straight to it. But noncomp came in a little bit heavier than we were expecting and that was suggested last quarter. It looks like it's in that other line. So I wanted to try to understand maybe what was there. Were there some onetime items in there? Just sort of understand the composition of that divergence versus the prior expectations. And then I think, Joe, you had said $30 million in noncomp per quarter before transaction related. Can you kind of put a little bit more context around that? So we can understand how to frame -- does that mean basically that when -- as revenue is humming, you guys are going to have some transactional-related expenses, which will flow through that line? And if that's the case, why didn't we see that last year? Sorry, I know it's a multiparter.
Joe Simon: Yes. So let me start with the first part of your question. The $5 million is made up of a combination of professional fees as well as new CECL reserves that related to some aged receivables. On those reserves, most of that, we fully expect to collect. So this is just a function of the new gap and how we -- it's more formulaic. There's less judgment involved. And ultimately, we absorbed some additional costs this quarter that we weren't expecting. So ultimately, we view both those things as episodic. And we continue -- or I continue to believe that $30 million is the underlying run rate. And that really assumes continued light travel for the second quarter. We're thinking travel might tick up, but we're thinking that, that probably won't happen until the back half of this year. Does that answer your questions?
Brennan Hawken: Yes, it does. But it sort of leads to more CECL reserves, Jesus, Ken, you're a bank. You're…
Joe Simon: But unfortunately, receivables are credit and it applies to everyone. And we -- you had to create a methodology around it. And ultimately, we had a few million dollars that ultimately emerged in that due to some aged receivables. But again, we fully expect those to be collected in the short term.
Brennan Hawken: Okay. And is it that based upon how sometimes these receivables kind of age, we should expect this might crop up from time to time and that it's basically related to just a little bit of a lagged billing and there might be some noise in that regard?
Joe Simon: Yes, it could, but it should be unexpected. We're pretty good about keeping on top of this as there were just some specific client situations that gave rise to this. But it's nothing to be alarmed about, and it's nothing that concerns us.
Brennan Hawken: Got it. Yes, sure. And you said that was like a $2 million or $3 million of the $5 million?
Joe Simon: Yes, exactly.
Brennan Hawken: Got it. Okay. All right. When we think about the quarter -- and this was quite a quarter for SPACs. And Ken, you were early to embrace this emerging trend in the middle -- I seem to remember it being the July call last year when you particularly flagged how this was powerful, this shift. And you were -- it was prescient. How much of a factor were capital markets? We spent a lot of time this afternoon talking about restructuring, and that's fair, and it's helpful. But I'm curious about capital markets. I think capital markets last year was a record setter for you guys, if I'm remembering this correctly. How did the quarter fair? What was like the pace? Was it running hotter than it did last year? And as we've seen SPAC start to slow, has that had a likewise impact on your capital markets business? Or are you staying busy?
Ken Moelis: I think our capital markets guys regret coming over here in September. They haven't slept. Brennan, it's funny because we're producing across the board. There's lots of privates and very innovative transactions. I think, Joe, we tried to look at SPACs. It was fairly minimal in the quarter.
Joe Simon: Yes, it was modest in the context. I mean again, capital markets has historically been kind of 2% to 4%. I think this quarter, we saw 10% to 13%. And certainly, SPACs was a component of it but not all of it.
Ken Moelis: Because the big part of it -- SPACs, I think we made some money. We were called book runner on a few. And that's a good fee. It's not an M&A type fee. But it puts you also inside of -- now you're the company's banker and there should be other things that come in the future. So yes, we didn't see like the -- there weren't a bunch of big de-SPACs, which is where the fees would be -- it was more the beginnings of the capital markets raising the money.
Brennan Hawken: Right. Which you would think could end up turning into the de-SPAC down the line?
Ken Moelis: Look, that's -- the point is to stay with them through PIPE. Now you have the ability to do the PIPE, which is a decent fee event, and the de-SPAC.
Brennan Hawken: Right. And how about the more recent velocity? It seems as though there's been a bit of a slowdown in some of those markets. Have you seen that, too? Or has it not -- has that velocity not really slowed for you all?
Ken Moelis: You're talking about SPAC specifically?
Brennan Hawken: And capital markets. Both SPACs and capital markets more broadly.
Ken Moelis: Well, capital markets broadly, no. And in fact, the M&A market just continues to go from strength to strength. And so -- and similar with the broad-based capital markets. But let me say on SPACs, there was a point here where the SEC came out and said they want to change some accounting. That affected -- that was just sort of like a 4-week hiatus as people tried to find an accountant that was available to redo their financials. It really became a backlog like sort of everybody, if you were in mid-transaction or you were going public, you had to redo your financials. And so yes, there's been a hiatus that was caused by that in the SPAC market, in almost everything.
Operator: The next question is from Michael Brown with KBW.
Michael Brown: Great. Maybe just to start off and maybe kind of close the loop here. Obviously, you had some very positive comments on the momentum that you're seeing across the business. But I was just hoping you could characterize your backlogs specifically for advisory. I think you had said on the last call that they were running at record levels. They never had been at that -- really had never been at that level before. So just curious after this first quarter how they stack up relative to last quarter.
Ken Moelis: I think significantly higher. We're at our highest levels. I don't want to get used to reporting that, but they continue to increase. And we have a thing called NBRC, New Business Review Committee, and the amount of submissions is up significantly over any period we've ever seen.
Michael Brown: Okay. Great. Great. Very impressive. And then to follow up on some of the SPAC commentary, obviously, there's going to be a lot of M&A activity industry-wide related to the de-SPAC-ing process as SPACs find targets. What is your general time line? And when do you think that activity will really pick up meaningfully? Is kind of the back half of this year a fair expectation? Or because there's kind of a lag between when those will be announced and ultimately close, is it more like a 2022 event? Just trying to think through how that could play out looking forward.
Ken Moelis: I think it will start again quicker than you think. One of the reasons there was a -- I think there was a repricing of a lot of PIPEs. There were a lot of deals that were negotiated in, I think, January, February that did their LOIs and went to the PIPE market. And there was a change in -- look, it's really an IPO market in some sense, and there was a change in that market. There was pretty significant change in how, I call it almost hyper growth, but high-growth companies were valued. And so the PIPE market started to, I think, reprice. And I think there's a lot of transactions out there under LOI that are both waiting for their accounting so that they can file and are repricing PIPEs as we speak and changing values. And so I don't know that you won't see a summer of de-SPAC. But I think it will be -- look, again, there's 500 of them. I don't see them all, but I think that's going on, and I think it will be pretty even. Like I said, there's a lot of growth companies. It is a bridge. It's a new play of raising capital, almost very, very late-stage venture in large chunks of money. Those companies need capital and they want to grow and they're going to come. And I think it will be fairly significant once this hiatus, both accounting and repricing, is over. And that should be -- I think that's in the next 3 or 4 weeks.
Michael Brown: Okay. That's interesting comment there. And maybe just one last one from me. You obviously saw the 8-K about the changes to the Board structure to shift to a controlled company. One of my interesting observation.
Ken Moelis: Noncontrolled company.
Michael Brown: Correct. Thank you for that clarification. Very important. But one of my key observations there was that after the announced resignation of the Co-President and COO that there would be just 5 members on the Board and 3 of which were independent. I know that this is really a Board matter but just curious if you could give some comments about the desire to grow the size of the Board to bring in maybe -- bringing more independent members over time.
Ken Moelis: I think we'll probably bring in at least one more, but I don't really want to have a gigantic Board. We've got a good Board. We can make decisions. Last year when COVID hit, I think we're moving very rapidly to make decisions. It's -- I think we have enough. I don't really see the benefits of having what I would consider a pretty unwieldy Board, both expense-wise and ability to move. So we're going to have an independent Board, and it will probably be more to spread the workload around and get some expertise. But I'm not that interested in building a gigantic Board.
Operator: The next question is from Jim Mitchell with Seaport Global Securities.
Jim Mitchell: Maybe just a question -- I mean everyone's been pretty optimistic about activity. It seems like dialogues are strong. It doesn't sound like there's been any yet pushback on valuation from financial sponsors or anything. Are you sensing any hesitation at all creeping into dialogues just based on valuation? Or is it, hey, we're in a recovery and it doesn't matter?
Ken Moelis: Well, that would be unkind to some of our clients to say they don't care. But let's just say that things are -- things are trading. There's not a lot of deals that go broken because -- and that usually means people are getting their value. And I'll tell you one of the things that is -- I always say this. In a bull market, people find a way to get around issues. I'd say in a bear market, a pebble looks like a boulder. You're running down a deal and a little pebble in the road comes up. And if things are negative, we go, oh, we don't know how to get around the pebble. And in a bull market, you can put a boulder in front of a deal and people drive right over it. And so things accelerate. They close quicker. They reach agreement quicker. And I think you're seeing some of that. And that will continue, I think, as the recovery happens. But I don't want to say people aren't trying to find value. They are trying to find value and they -- people do have limits as to where they want to go. But we are finding most processes find a buyer.
Jim Mitchell: Right. Okay. Well, that's helpful. And maybe just on the dividend. Is there a level of cash -- we think about going forward, prior to COVID, you guys were pretty consistent with two specials a year. Are we kind of back in that flow? And is there a way for us to think about what kind of a minimum cash level you prefer to keep and what -- how we can better estimate excess for you guys?
Ken Moelis: I'll let -- in a second, I'll let Joe do that. So one of the reasons -- look, I do think about 2 because we talk about it and we don't like to hold it for more than -- we don't like to hold it. We have it in Treasury bills earning nothing. And we don't think that's a good use of your capital, our shareholders' capital. So as soon as we get it to a large enough amount, which is usually in kind of 6-month cycles, it's large enough to be administratively good to pump it out. This year, because we were conservative going into the crisis, we ended up with more cash at the end of the year. And then the reason we paid a $2 dividend, right, I think 3 months ago we paid it and we're doing another 2, one of the reasons was also the fourth quarter was so strong that by the time we had organized and paid a $2 dividend, another -- it was so strong that we ended up probably with more cash from that quarter than we -- we wanted to get that paid in 2019 in case tax rates moved and it meant something to the organizations that got the dividend. We thought it was prudent to get that money out the door. So we had to declare it before we really had a total understanding of how -- what that quarter was going to be. So this timing is a little strange because of the deferred -- we didn't pay the second quarter. We wanted to get it back. We had a tax change. The short answer is going forward, we probably will if times are good, and we probably would go to twice a year. And Joe, you want to talk about what you consider minimal cash?
Joe Simon: Yes. So our minimum capital remains around $50 million after earmarked amounts for things like taxes and bonuses. And as Ken said, our primary focus is beyond that amount, we consider it excess. And we just want to distribute it or return it in some form.
Operator: The next question is from Jeff Harte with Piper Sandler.
Jeff Harte: A couple of kind of cleanups and maybe a strategic one. Cleanup-wise, Joe, as far as the share count creep outlook goes, is it impacted at all by the ramp-up in kind of price we've seen recently? Or should we still think of the same kind of quarterly creep going forward?
Joe Simon: Yes. The creep is kind of with prices being stable, are somewhere around 800,000 to 900,000 shares per quarter. So when you have a lift under the share price, it will ultimately accelerate that, and that's why you saw something closer to 1 million -- a little more than 1 million shares this quarter.
Jeff Harte: Okay. And I wind up asking us every quarter, but is there anything to highlight as far as 2Q closings kind of having revenues pulled back into the first quarter?
Joe Simon: I mean the pull forward you're referring to, it was a couple of transactions. It added up to, I think, about $11 million.
Jeff Harte: Okay. And then you mentioned earlier the SPAC book runner and seeing you guys show up in the equity underwriting league tables did catch our eyes. Is your involvement there, really just something, an opportunity within SPAC specifically? Or do you guys give any thought to kind of equity underwriting business beyond SPACs going forward?
Ken Moelis: Yes. One of the things that got me interested last year in beefing up is we had done 2 direct registered placements on utility companies of substantial size. And I started -- and by the way, we had done equity. I mean it was equity, direct equity. So I started to think there is a virtual method to do this without the overhead of all the trading floor overhead. And yes, we are talking about ways and programs and different things that we think are innovative around equity offerings with the equity light -- virtual or light -- asset light. I think we can do more and more in that space. It's not just SPACs.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ken Moelis for any closing remarks.
Ken Moelis: Look, I appreciate all the support, and I look forward to talking to you at the next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.